Operator: Good day, ladies and gentlemen, and welcome to the Lincoln Educational Services Fourth Quarter and Full-Year 2016 Earning Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce our host for today's conference, Mr. Doug Sherk, The EVC Group. Sir, you may begin.
Douglas Sherk: Thank you, Cailey, and good morning, everyone. Before the opening of the market today, Lincoln Educational Services issued its fourth quarter and full-year 2016 financial results. The release is available on the Investor Relations portion of the Company's corporate website at www.lincolnedu.com. Today's call is being broadcast live on the Company's website and a replay of this call will also be archived on the Company's website. Statements made during today's call made by management of Lincoln Educational Services Corporation regarding Lincoln's business that are not historical facts may be forward-looking statements as that term is defined in the federal securities law. The words may, will, expect, believe, anticipate, project, plan, intend, estimate, and continue, and their opposites and similar expressions are intended to identify forward-looking statements. Forward-looking statements should not be read as a guarantee of future performance or results, and will not necessarily be accurate indications of the times at, or by, which such performance or results will be achieved, if at all. The Company cautions you that these statements concern current expectations about the Company's future performance or events and are subject to a number of uncertainties, risks and other influences many of which are beyond the Company’s control, that may influence the accuracy of the statements and the projects upon which the statements are based. Factors which may affect the Company’s results include, but are not limited to, the risks and uncertainties discussed in the Risk Factors section of our Annual Reports on Form 10-K and Quarterly Reports on Form 10-Q filed with the Securities and Exchange commission. Forward-looking statements are based on information available at the time those statements are made and/or management's good faith belief as of that time with respect to future events. All forward-looking statements are qualified in their entirety by this cautionary statement and Lincoln undertakes no obligation to publicly advise or update any forward-looking statements whether it’s a result of new information, future events or otherwise after the date here off. Now, I'd like to turn the call over to Scott Shaw, President and Chief Executive Officer of Lincoln Educational Services.
Scott Shaw: Thank you, Doug, and good morning, everyone. Thank you for joining our call this morning to discuss our fourth quarter and full-year 2016 financial results as well as our outlook for 2017. With me today is Brian Meyers, Lincoln’s Chief Financial Officer. I'll begin the call by reviewing our recent operational highlights and progress in achieving our corporate objectives. Brian will provide further details on the quarter's financials as well as our outlook for the current year. Then we'll take your questions. For the past several years, our organization has faced many challenges and headwinds as we strive to achieve consistent profitability while continuing to enhance the student educational experience. Our team has been extremely focused on executing our strategy that enables Lincoln to capitalize on Transportation and Skilled Trades education routes. Builds partnerships with corporations actively seeking trained employees with specific specialized skill sets, generates maximum efficiencies from our operations, meets or exceeds the evolving regulatory requirements and finally maximizes the asset value of our non-core operations for the benefit of our shareholders. It's been a long road for both our organizations and our shareholders, but I believe the fact that we met all the guidance metrics we provided at the beginning of 2016 a test to our increasing consistency and position us for further improvement in 2017. A key factor behind returning Lincoln to consistent profitability is to grow student starts. Our relatively full employment economy has made that task especially difficult despite the continued skills gap between the skills needed by employers who are searching for candidates and the skills of the unemployed or underemployed. During the fourth quarter, our Transportation and Skilled Trades operations increased starts by 2.3% and finish the year with approximately 100 more students than on January 1, 2016 which is a very positive step for our Company. Lower carry-in population has been one of the main contributing factors to the declines in our revenue over the past several years, and so a modest increase is certainly a welcome sign. I would also note that we generated a 6.3% increase in student starts at our health and other profession segment during the fourth quarter, which nicely positions discontinued operation for 2017 as we continue to explore strategies to maximize the value of these assets for our shareholders, more on that in a few minutes. A major driver behind the positive trends with student starts is that demand from employers in all segments remains strong and continues to lead to deeper conversations around solving workforce shortages through placement partnerships, employee training opportunities and enhancements to our curriculum with specific company and industry skills. During 2016, we rolled out advanced Audi training at six campuses and have already demonstrated to the Audi dealership network Lincoln's unique ability to provide high quality technicians in large numbers to meet their strong demand. In December, Audi recognized our Mahwah campus for providing more events Audi trained technicians to the field than any other school in the country. In addition, Fiat Chrysler automotive asked us to upgrade our technician level training from 0, 1 to level 2 which also will enable graduates to start at a higher level with higher wages. Also Volkswagen awarded Lincoln with our first contract which we hope to expand to multiple campuses similar to Audi and we strengthened our partnership with BMW with the award of the many brand step program where currently BMW sold many step technician partner. Moreover graduates of our newly designed program will enter the workforce as BMW MINI master certified technicians. While our OEM contracts take longer than we would like to establish, we are pleased by the positive feedback from both our graduates and the OEM's. Lincoln's footprint is unique and we believe our 70-year history and experience positions us well to further expand our industry partnerships. We're currently having discussions with several other OEMs and industry leaders. Graduates from our programs are in high demand. When we speak to our partners as to why they have selected Lincoln, the three most common responses are first and foremost the quality and quantity of our graduates. Our students leave Lincoln with the technical skills needed to excel, but they also leave with a value added life skills such as communications, professionalism and critical thinking and our partners recognized these qualities. Our partners also note the level of service our team provides their organizations and our campuses footprint as other advantages. Certainly we expect to maximize these advantages as we pursue other partnerships with corporate America. We also have other program expansion plans underway outside of the auto industry. In Nashville, Tennessee the latest addition to the welding technology program is now available and the Grand Prairie Texas campus has expanded its welding program with the addition of pipe setting. Both programs will benefit from increased investment in infrastructure and manufacturing that is incurring in each of these markets. Furthermore with job placement opportunities in the welding field expected to grow by more than 100,000 throughout the United States over the course of the next eight years. These programs will help deliver a new generation of skilled trained professionals to help employers fill the many available and high paying career opportunities in industries such as construction, infrastructure, mining and manufacturing. One of our key objectives in 2017 is to maintain these increased student population levels and to use them to build a larger and steady student population. We've continued to make quarterly progress on this objective. The programs we’ve implemented to retain students who are currently enrolled bring previously enrolled students back and enroll graduating students in advanced degree programs are all proving to be worthwhile endeavors. While we've done much to position Lincoln's continuing operations for growth, the strong employment market and continued student aversion to debt restrict our growth. In addition, redundant and unnecessary regulations have been shrinking our addressable market and increasing operating costs. We do believe that the change in administration at the federal level offers the potential to create a more favorable regulatory operating environment and reduce this growth inhibitor. Given the demand for training by American employers and the success of our graduates in terms of gaining skills that result in stable, highly compensated employment, we look forward to regulatory changes that will benefit to creation and filling of American jobs. We do intend to maintain our very high level of compliance in all aspects of our operations. Our programs to enhance our level of student service to drive higher retention and even higher students satisfaction levels have already been noted. From a financial perspective, we continue to meet or exceed regulatory requirements. Our 90:10 ratio is 79% well below the threshold. The composite scores projected to be above 1.5 in our three-year core default rates continue to decline with our most recent published rates well below 15% and 12.6%. The strength of these and other compliance ratio is reflective of Lincolns long-term commitment to its students and just striving to provide each graduate with a strong return on their investment. As we strengthen our operations, we will seek alternative financing solutions that lower our operating costs while enabling us to meet the needs of our growing number of corporate partners and expand our opportunities. We took many steps to increase the efficiency of our operations during 2016 and we will continue to ensure that our expenses are in line with our revenues. For example in the fourth quarter we did close our Green Valley Nevada campus, which was included in discontinued operations and we reclassified our Northeast Philadelphia campus into our transitional segment. In addition, we're continuing to teach-out our West Palm Beach Florida and Center City Philadelphia campuses and anticipate completing all teach-outs during the current year. This should significantly reduce our transitional segment operations and help simplify the presentation of our improving operating performance. Before I turn the call over to Brian, I’d like to provide an update on our efforts to rationalize our business by exiting the healthcare and other professions segment, which were classified in discontinued operations in November 2015. The remains our objective to dispose of these assets through a single transaction that out obviously has not happened as quickly as we had hoped. Uncertainty around what would happen with ACICS as well as the various new rules and acted at the end of the last administration has complicated negotiations. Our goal is to seek maximum value for our shareholders from these assets. I would note that we do continue to operate the campuses in an exemplary manner as evidenced by the 6.3% increase in student starts at that segments campuses during the fourth quarter. When we have definitive information about a transaction to disclose we will update you, but in the meantime I want to recognize the healthcare and other professions faculty and operating teams for their continued dedication and devotion to Lincoln in our students. In summary, we are moving towards an operational and financial performance consistency that Lincoln has not experienced in years and we look forward to reporting on our progress as the year progresses. At this time, I'll turn the call over to Brian for a review of our financial results that merit highlighting.
Brian Meyers: Thanks Scott and thank you all for joining us this morning. I'll begin my comments with the highlights of our continuing operation and financial performance. Continuing operations are comprised of our Transportation and Skilled Trades segment, our Transitional segment and our Corporate and other segment. The Transitional segment refers to operations that are closed or are currently being toed out. For the fourth quarter the segment consists of our campuses Fern Park, Northeast Philadelphia, Center City Philadelphia and our West Palm Beach, Florida campuses. It is important to note that we closed two campuses there in the quarter, Hartford and Henderson, which for the quarter was included in discontinued operations. The remainder of the schools in the Transitional segment are expected to be closed during 2017. Revenue from continuing operations for the quarter was $50.3 million versus $52.6 million in the prior year comparable period. The decrease in revenue of $2.3 million was mainly due to our Transitional segment, which accounted for approximately 91.2% of the revenue decline. Further as Scott mentioned, lower carry-in population has been a contributing factor to the revenue decline over the past few years and excluding our Transitional segment of continuing operations started 2017 was slightly more students than we had on January 1, 2016. We believe this positive momentum will help us achieve the 2017 guidance that I’ll review in a few moments. During the quarter students are remained essentially flat with a modest decline of 0.8% versus prior year period. Excluding the Transitional segment our students thought were up 2.3% for the quarter. Turning to operating expenses, we continue our efforts to implement efficiencies and cost reductions across the entire organization. Education services and facility expenses from continuing operation decreased by 800,000 to $22.5 million for the quarter from $23.3 million in the prior year period. The decrease in cost was the result of lower instructional expenses, primary resulting from reduction in the number of instructors and other related resulting from lower student population primarily attributed to teach-out of our Fern Park campus, which was completed in the first quarter of 2016 as well as reduce of course attribute to the planned closure of our Northeast Philadelphia, Center City Philadelphia and our West Palm Beach campuses, which are expect to be toed out during 2017. Selling, general and administrative expenses from continuing operation increased by $1.7 million to $23.5 million for the three months ended December 31, 2016 from $21.8 million in the prior year period. The increase was primarily result of favorable workers compensation adjustments made in the prior year resulting from better claims history and an increase in legal expenses. Net income from continuing operations for the fourth quarter was approximately 100,000 or $0.00 per share as compared to net income of $3.9 million or $0.17 per share in the prior year period. Excluding the Transitional segment versus again resulting from the restructuring of finance obligation in 2016 and non-cash impairment charge we would have a reported income of $3.7 million in the fourth quarter as compared to net income of $4 million in the prior year period. Now focusing on the fourth quarter segment results, our Transportation and Skilled Trades segment revenue was $46.6 million for the three months ended December 31, 2016 as compared to $46.8 million in the prior year comparable period, the slightly decline mainly stem from lower carrying population into 2016. However, I would like to mention that sooner starts for the segment were up by 2.3% for the quarter compared to the prior year comparable period and I would also like to highlight again that we are starting 2017 with approximately 100 more students than we had on January 1, 2016. Operating income from Transportation and Skilled Trades segment increased by $1 million to $9.4 million from $8.4 million in the prior year comparable period. Our Transitional segment, which for the quarter ended December 31, 2016 had revenue of $3.7 million, compared to $5.7 million the prior year period. The decrease was due to the closing of the Fern Park campus and the suspension of new student enrollments at the remaining campuses during 2016. And lastly, for our healthcare and other professional segment, which is classified under discontinued operations, I would like to highlight the segments full-year results. Net loss from discontinued operations was $23.8 million for the year ended December 31, 2016. Excluding the $17.5 million impairment charge and the $6.9 million and losses incurred for closed campuses, the Company would have reported net income of $0.5 million for the year ended December 31, 2016. In 2015, the Company reported net loss of $3.5 million, excluding $2.6 million of losses incurred for closed campuses the net loss would have been $0.8 million. This represents a $1.3 million increase in net income year-over-year, which reinforces management commitment to invest in assets classified as discontinued operation and strategically continues to maximize shareholder value. Let's now turn to the balance sheet and cash flow for the quarter. We finished the quarter with $47.7 million of cash, cash equivalents and restricted cash. This was compared to $61 million of cash, cash equivalent and restricted cash in the prior year comparable period. The decrease in our cash amount is mainly the result of our net loss and $11.5 million of school closing cost. As Scott mentioned – also Scott mentioned early in his remarks, we have met all of our 2016 guidance metrics a disclosed in the beginning of 2016. And I am pleased to take a moment to walk you through those accomplishments and the related results reported at year-end. First, plant closing of our Fern Park and Hartford campus were completed. The Fern Park campus was closed in the first quarter of 2016 and the Hartford campus was closed in the fourth quarter of 2016. Second, the Transportation and Skilled Trades segment was expected to realize revenue declines in the mid-to-low single-digits, for the year this segment was down 3.2%. Additionally, we expected to end the year with approximately 6600 students and our year end population for this segment was 6700 students. Third, we anticipate our cash position to be in excess of our term loan repayment obligation at the end of the year. The amount of cash in excess of our loan obligation was $3.4 million for the year-end 2016. Lastly, we expected to generate positive net income from continuing operation, excluding our Transitional segment and any impairment. Net income for the year less our closing schools and a non-cash impairment charge was $3.3 million. Let's now turn to our 2017 guidance. First, the Company expects to achieve positive operating income company-wide including discontinued operations with the exceptions of the closed campuses. Second, the Company expects to achieve low single-digit revenue growth in the Transportation and Skilled Trades segment. And lastly, we expect to complete the plan teach-out of our Northeast Philadelphia, Center City Philadelphia, and our West Palm Beach campuses in 2017. With that, I’ll turn the call back over the operator, so we can take your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Alex Paris with Barrington Research. Your line is open.
Alexander Paris: Good morning, guys.
Scott Shaw: Good morning, Alex.
Brian Meyers: Good morning, Alex.
Alexander Paris: Congratulations on a strong finish to the year and now your guidance metrics.
Scott Shaw: Thank you.
Alexander Paris: I have a few questions. First of all just kind of a strategy question. November 2015, if you're going to sell healthcare and other professions, you've been working at it for 14 months or so and things have changed dramatically in for-profit post-secondary education. I got to imagine whatever price talk that was going on until the last 14 months, multiples are higher today. Is that part of what's been holding it up? And secondly, I would think if you're still going to sell these things and I think you should consider keeping up in a place that you seem to have them turn. If you're still considering selling them, I would think that you'd want to start the process all over again, what’s your big picture thoughts with regard to that segment?
Scott Shaw: Sure. Good question. Certainly a lot has changed and also to say with the election things have changed, and as Brian highlighted, we continue to invest in those schools for their long-term health. We are focused on what we can do to maximize shareholder value, so we will continue to be focused on that. And as far as the negotiations they have been challenging, there's lots of different pieces have been moving around both positively and negatively, I mean the change with ACICS is somewhat a complicating factor, but we're in the process there of switching over accreditation. But it's a jump ball to live ball, we're trying to figure out what the best way is to maximize shareholder value and we would just keep you all posted, but that is what we're focused on. And so to your point maybe it might be best to hold on to it, but again we'll update people who don't have more definitive answers.
Alexander Paris: Okay. Any thought as to timetable, do you think we'll know one way or another by mid-year, by the end of the year or?
Scott Shaw: Well definitely know by mid-year because I think all parties involved to our best interest to make a decision.
Alexander Paris: With regard to the ACICS switch, have you said who you are switching over to ACCST and where do we stand in that process?
Scott Shaw: Sure. We haven’t said, but we are switching over to ACCST and we’ve been in that process and everything is on track to have those schools switched over to them by year end.
Alexander Paris: Okay. And then while staying on the big picture; it was nice to see Starts growth in both transportation and in the discontinued operations. What's been the big and I think you touched on little bit in your prepared comments, what's been the biggest challenge, I think you said job market in that aversion, but what are you doing to overcome that or are things just starting to improve because the year ago number is so low.
Brian Meyers: Well, your latter point could be part of it, but I think I hope that the efforts that our teams are making are actually leading to our growth. I mean we're just focused on making sure that that message is communicated properly both at the high school level and the adult level of what the job opportunities are. I think there is more general conversation about the value of what we do and still we have a long ways to go, but I think that more people do question, do they really need to spend a lot of money in four years of their lives to go get a degree when they see their friends not being employed and so there are a lot of small things I can say that there's a tidal wave change yet Alex. But I think that we will continue to drive home that message that we offer great opportunities, our graduates have great career potential and we link and provide people in opportunity to advance themselves. So we'll just continue sharing all those marks and I am confident that given the demand out there and what we offer, things will turn.
Alexander Paris: All right on the regulatory front, you mentioned your 90:10 ratio 79%, composite ratio projected, your CDR. I forget but where do you stand on gainful employment both within the Transportation segment as well as with the discontinued operation?
Scott Shaw: Sure, I think that in the last call we mentioned that again fewer than like 1.5% of our students being negatively impacted and a lot of those – some of those were in, some of the discontinued operations as far as on the auto side, we really have no challenges as of right now with any of our programs. We had an issue maybe with our collision program that we've addressed that through offering a new program. That said, it's a shorter program at a lower wage and actually we've seen some nice growth in that segment. So it's probably been a really positive change. But all-in-all gainful employment at this stage is not an issue for us. And the challenges that we did have been the discontinued operations were in the schools that were closed or in the process of closing?
Alexander Paris: Gotcha. All right, and then one last question and it leads to a related question and then the transition conditional segment is that whatever is in there now will be out of there this year. Am I remembering right?
Scott Shaw: Correct.
Alexander Paris: To be done with a lot of the left of them by midyear is that right or is that they go beyond that is…?
Scott Shaw: I think it goes into the third quarter.
Alexander Paris: Okay, yes. And then any other – is there the real potential of any other schools going into that that line item.
Scott Shaw: I’d say think anything possible, not planned it.
Alexander Paris: So by the fourth quarter, we're going to have a pretty clean quarter. It's going to be transportation still trades to be nothing really coming in – on the transitional line and then you have a discontinued operation if you still have the discontinued operation. That's correct our accounting people will know what to do with all this free time I was going to have a simplified?
Scott Shaw: Me neither.
Alexander Paris: So then that brings me to the last question about guidance. He said that you expect to achieve low single-digit revenue growth in Transportation and Skilled Trades. What revenue would you expect from transitional in 2017 between now and the time that they’re all complete?
Scott Shaw: Under $4 billion between $3.5 million to $4 million.
Alexander Paris: Okay. And then you expect to achieve operating income, a Companywide including this year operation that means including transition also right? You said Company wide?
Scott Shaw: Yes, but I backed out closed schools in transitional be closed. So it includes transportation and are on continuing hot schools ACICS, healthcare school that's going to continued off just backing up the losses from the schools that are closed before schools.
Alexander Paris: Gotcha. Okay, well that helps. Thank you very much and good luck in 2017.
Scott Shaw: Thanks Alex.
Operator: Thank you. And our next question of the line Douglas Ruth with Lenox Financial Services?
Douglas Ruth: Good morning. Congratulations to the progress in that you did achieve the goals that you did stated, how about the line of credit the revolver or any opportunity here to refinance that. What we're always looking the see how we can optimize and reduce – right now the term loan we have as you know and facility up for sales and there is current interest in that that could in 2017. So we all working towards that as the results improve it makes that much easier to do.
Douglas Ruth: Okay. And then in the past you talked a little bit about the specific schools and some of the struggles with the marketing, is there any update as far as how these schools – you had talked about some personnel changes. Could you give us – is there anything to updated as far as what's been happening since you made the changes?
Scott Shaw: Sure. I mean I'll just say that we constantly valuing each of the campuses and their teams and we'll make changes as necessary. As of right now I can't say that the changes have materially changed their financials, but I can tell you that changes that they made and from all of us looking at our different departments feel very good that they're moving in the right direction just sometimes it takes a while to start seeing the impact at the bottom line, but as far as where we've made the changes we are definitely seeing progress as we would like.
Douglas Ruth: Okay. What about the marketing initiatives, is there any plan or anything that you're doing different or planning to do different for 2017?
Scott Shaw: Well, we're always looking to change things up which you don't want to keep doing the same thing, so we're definitely focused a lot more on social media and expanding our opportunities there that's both a financial commitment as well as just getting more people engaged at the campuses whether it's employees or students or alone. We have a unique opportunity that we have with Schmidt Peterson racing that we're doing this year whereby not only [reporting] a lot of marketing efforts with them, but we have a unique mentorship program set up, so that a student and a faculty member from six of our campuses will get to go and work in the pit with them and we're hoping that's going to drive a lot of excitement both at the campuses, but also in the high school market and frankly should also lead to some interesting social media as well. So it's got to be a continued focus of ours and we'll continue to look at ways to enhance what we're doing, but it's really a long litany of changes without any major global changes that I can share with you Doug.
Douglas Ruth: Okay. All right. Well thanks for answering the question. We're looking forward to the clean accounting quarter.
Scott Shaw: Yes, we all are.
Douglas Ruth: Yes, thank you for doing what you're doing.
Scott Shaw: Thanks, Doug. Appreciated.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of [indiscernible] with BMO Capital. Your line is open.
Unidentified Analyst: Good morning.
Scott Shaw: Good morning, Eric.
Brian Meyers: Good morning.
Unidentified Analyst: So there is two buildings for sale in West Palm and I think if I remember correctly you owned three, is that correct?
Scott Shaw: Correct.
Brian Meyers: All three are for sale.
Unidentified Analyst: Okay. That’s the change from last quarter correct?
Scott Shaw: That's correct.
Unidentified Analyst: All right. The two that fell through in September, do you often know the book value and recurring value of those buildings?
Brian Meyers: Yes. The book value of those buildings are approximately $90 million including the improvement and the appraisal value is slightly higher.
Unidentified Analyst: Okay. You said $19 million?
Brian Meyers: Correct, for the three building.
Unidentified Analyst: All right. Are those in yes, Scott for the back in transitional level?
Scott Shaw: It’s included in held for sale the assets and the buildings are included in the held for sale and school themselves are included in transitional which is continuing operations.
Unidentified Analyst: Okay. So do I have this correct that the book value of those two buildings is higher than the book value of the entire held for sale assets?
Scott Shaw: No, because the held for sale – I think that is…
Unidentified Analyst: $13.2 million now right after the impairment?
Scott Shaw: Yes, held for sale is $24.7 million. You're looking at the assets held for sales are $24.8 million and if you looking at net of our liabilities.
Unidentified Analyst: I got it. Okay, so in overwhelming majority of those two buildings?
Scott Shaw: Three buildings, correct.
Unidentified Analyst: For the carrying value that three buildings is 19 or the…?
Scott Shaw: Yes, the three buildings are 19, the three buildings.
Unidentified Analyst: Okay, all right. But the two buildings are almost 100,000 square feet, correct. And then last one small?
Scott Shaw: The last one smaller, I'm not sure...
Unidentified Analyst: Okay, all right. Do you have the depreciation for the [disk ops] segment for the year end quarter?
Scott Shaw: Right, for the disk ops segment, because we classified in this held for sale. There is no depreciation for the disk ops segment.
Unidentified Analyst: Okay. And there hasn't been for the entirety of its being in that…
Scott Shaw: That is correct. The only time that we have depreciation if we decide to close them and move them in transitional and then we do that catch up depreciation.
Unidentified Analyst: I gotcha, okay. And do you know what percent of the disk ops is in the hospitality field, culinary and what have you?
Scott Shaw: Majority of it all is medical though.
Unidentified Analyst: Medical yes, oh.
Scott Shaw: That I would say maybe we’ve been shutting down a lot of that, I’d say maybe 20%.
Unidentified Analyst: And then the other 80% nursing stuff?
Scott Shaw: Correct, medical. Yes.
Unidentified Analyst: Gotcha. And if I’m – that’s more desirable two or three was type [indiscernible] am I correct in that assumption?
Scott Shaw: Duty is in the height of the holder, but I would say yes in general, certainly nursing is a very strong program.
Scott Shaw: But also our culinary school in that segment is performing very well.
Unidentified Analyst: All right.
Scott Shaw: But I think a number of – at least one of your competitors has their culinary store and either run off what for sale, so.
Brian Meyers: Correct. Yes, in general they wrote challenge with the employment.
Unidentified Analyst: Right, gotcha, okay. Now the $6.7 million gain in other income, is that done now that we're in 2017…
Scott Shaw: That was from changing, we had lease back that we convert basically over to an operating at lease. So it does not go into 2017.
Unidentified Analyst: Gotcha. And the $9.4 million in Transportation and Skilled Trades very income that are there any one time gains in that.
Scott Shaw: No.
Unidentified Analyst: Okay. That’s it, thank you.
Brian Meyers: Great.
Scott Shaw: Thank you. End of Q&A
Operator: Thank you. And I'm showing no further question at this time. I would now like to turn the call back Mr. Shaw for closing remarks.
Scott Shaw: Thank you, operator, and thanks to everyone for participating in our call this morning. We continue to channel our efforts towards establishing sustained profitability while offering the high quality educational experience to our students that results in our graduates mastering marketable skills across a range of in demand industries. We are continuing to advance in a direction that supports these objectives and we look forward to updating you on our progress as developments occur. And talking with you again in May. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. And you may all disconnect. Everyone have a wonderful day.